Operator: Good afternoon. My name is Mike, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sanmina Second Quarter Fiscal 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I will now turn the call over to Paige Bombino, Director of Investor Relations. You may begin your conference.
Paige Bombino - Director, Investor Relations: Thank you, Mike. Good afternoon, ladies and gentlemen, and welcome to Sanmina’s second quarter fiscal 2014 earnings call. A copy of today’s release is available on our website in the Investor Relations section. You can follow along with our prepared remarks in the slides posted on our website. Please turn to Page 2, the Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution you that such statements are just projections. The company’s actual results of operations may differ significantly as a result of various factors, including the state of the global economy, economic conditions in the electronics industry, changes in customer requirements and sales volume, competition and technological change. We refer you to our quarterly and annual reports filed with the Securities and Exchange Commission. These documents contain risk factors that could cause actual results to differ materially from our projections or forward-looking statements. You will note in our press release and slides issued today that we have provided you with a statement of operations for the three months and six months ended March 29, 2014 on a GAAP basis, as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on our website. In general, our non-GAAP information, excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense and other infrequent or unusual items to the extent material. Any comments we make on this call, as they relate to the income statement measures, will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP information. I would now like to turn the call over to Jure Sola, Chairman and Chief Executive Officer.
Jure Sola - Chairman and Chief Executive Officer: Thanks, Paige. Good afternoon, ladies and gentlemen and welcome. Thanks again for being here today. With me on today’s conference call is Bob Eulau, our CFO.
Bob Eulau - Chief Financial Officer: Good afternoon, everyone.
Jure Sola - Chairman and Chief Executive Officer: For agenda, we have that Bob will review our financial results for our second quarter. I will follow up with the comments relative to Sanmina’s results and future goals, then Bob and I will open for question and answers. And now, I would like to turn this call over to Bob. Bob?
Bob Eulau - Chief Financial Officer: Okay, thanks Jure. Please turn to Slide 3. Overall, the second quarter was better than expected from both a revenue and a margin perspective. Revenue of $1.477 billion was up 2% on a sequential basis and up 3.4% from the second quarter last year. Our gross margin came in at 8.2%, which was up 40 basis points from the first quarter and up 1.1 percentage points from the second quarter last year. Operating margin increased 20 basis points from last quarter and 80 basis points from the second quarter last year to 3.6%. Non-GAAP earnings per share was $0.44, which was above the high end of our guidance for the quarter. This was based on 86.1 million shares outstanding on a fully diluted basis. Cash flow from operations was at $8.5 million this quarter. We repurchased about $19 million of our common stock in open market repurchases. I will discuss the balance sheet in more detail in a few minutes. Please turn to Slide 4. Revenue was up $30 million or 2% from Q1 to $1.477 billion. From a GAAP perspective, we reported net income of approximately $21 million, which results in earnings per share of $0.24. This was down relative to last quarter by $0.02. This decline was driven by a $7 million increase in GAAP taxes for the quarter. The increase in GAAP taxes was primarily due to an increase in pretax income, changes in the jurisdictional mix of where income was earned and a decrease in the beneficial discrete tax events such as the changes in the Mexican tax law that we recorded in Q1. The restructuring costs for Q2 were $2.6 million. Going forward, the restructuring costs we expect are associated with the real estate we have on the market to be sold. We expect these costs to be around $2 million to $3 million again next quarter. As of the end of March we had about $75 million of real estate on the market at list price. My remaining comments will focus on the non-GAAP financial results for the second quarter. At $121 million gross profit was up $8 million from the prior quarter and up $19 million from Q2 of last year. Gross margin came in at 8.2% which was 40 basis points higher than Q1. This is the best quarterly gross margin we have recorded since 2001. This was achieved with relatively modest revenue and the best news is that there is still plenty of room for margin improvement. I will discuss this more when we review the segment results. Operating expenses were up $3.8 million for the quarter at $67.8 million. This represents a 20 basis point increase in operating expenses as a percent of revenue. Operating expenses were higher than last quarter primarily due to increased investment in research and development and increased accruals for incentive compensation. At $53.2 million operating income increased by 9.3% from the prior quarter. Operating margin was 3.6% which was a 20 basis points sequential increase. Other expense at $6.9 million was up 20% from last quarter primarily due to lower interest income and down 32% from the second quarter last year which was primarily driven by lower net interest expense. The tax rate for the quarter was 17.2% of pretax income which was what we had expected. The tax situation continues to be dynamic with challenges in multiple jurisdictions. On a non-GAAP basis we earned $38.3 million in net income or $0.44 per share. Earnings per share were up 9.3% from Q1 and up 49% from Q2 last year. On Slide 5, we are showing you some of our key non-GAAP P&L metrics. Revenue was up $30 million from last quarter. Demand was good in the Medical, Defense and Industrial segment which was more than enough to offset softness in other market segments. Compared to Q2 last year total revenue was up 3.4%, again driven by the Medical, Defense and Industrial segment. Moving on to gross profit, gross profit was up $8 million in Q2 while gross margin at 8.2% was the best it has been in over a decade. While volume and mix have varied in each quarter, we are pleased with the consistency of gross margin over the last year. Our operating profit increased 9.3% from last quarter to $53.2 million. This led to operating margin of 3.6%. This was up 20 basis points from last quarter and was up 80 basis points from Q2 last year. Net interest expense was up $600,000 from last quarter primarily due to lower interest income and net interest expense was down $2.9 million from the second quarter last to $7.3 million for the second quarter this year. Please turn to Slide 6, where we are providing more information on the segments that we report. The Integrated Manufacturing Solutions segment represents printed circuit board assembly and test, final system assembly and test as well as direct order fulfillment. As you can see from the graph on the left, the IMS segment revenue was almost flat with last quarter at $1.147 billion. While our gross margin was down 10 basis points following the excellent mix we have last quarter, we are pleased with the improvement in this segment over the last year. The second segment for us is Components, Products and Services. Components include printed circuit board fabrication, backplane assemblies, the cable assemblies, enclosures, precision machining and plastic injection molding. Products include computing and storage products, defense and aerospace products, memory and solid state drive modules as well as optical and RF modules. Services include design and engineering as well as logistics and repair services. In aggregate, the revenue for this segment was up 10.6% from Q1. As we expected, we saw a good increase in gross margin in the CPS segment, which was up 1.6 percentage points from the disappointing Q1 results. The improvement was driven primarily by the components businesses. Now, I will turn your attention to the balance sheet on Slide 7. Cash was $391 million this quarter, which was lower by $16 million. The decline was the net effect of several items including $18.8 million, which was used to repurchase 1.1 million shares of our common stock at an average price per share of $16.77. Inventory was up $8 million from Q1 to Q2. Accounts receivable increased by $36 million primarily due to unfavorable linearity during the quarter and accounts payable decreased by $8 million primarily due to supplier terms. Property, plant and equipment, was down $16 million based on depreciation and asset retirements. Other assets were down primarily due to a decline in deferred tax assets and a decline in the value of our interest rate swap. From a liability standpoint, our 2019 debt is now callable and we are evaluating several capital structure alternatives, which includes maintaining our current structure. Our growth leverage is at 2.1, which provides us with flexibility in terms of what we do going forward. Please turn to Slide 8, where we will review our balance sheet metrics for the second quarter. Cash was down $16 million from Q1. Cash flow from operations for the quarter was $8.5 million and net capital expenditures for the quarter were $16.3 million. This led to negative free cash flow of $7.8 million. We believe our free cash flow was unusually low this quarter and that we will return to positive free cash flow next quarter in spite of the growth that we have planned. Inventory reduction and cash generation are an ongoing priority for our team. Inventory dollars were up $8 million from last quarter at $800 million, while inventory turns were the same at 6.8. We are showing cash cycle days, which combines our cycle time for inventory, accounts receivable and accounts payable. Overall, cash cycle time increased from 47.3 days last quarter to 48.5 days this quarter. This was the result of a decrease of 2.3 days in accounts payable days outstanding, which was not fully offset by a 0.9-day reduction in accounts receivable days sales outstanding and a 0.2-day decrease in days of inventory. When compared to Q2 last year, our cash cycle time has improved by 3.5 days. In conclusion, return on invested capital was 13.1% for the quarter, which was up by 70 basis points from Q1. Please turn to Slide 9. I would now like to share with you our guidance for the third fiscal quarter of fiscal year 2014. Our view is that revenue will be in the range of $1.5 billion to $1.6 billion. We are using a bigger range this quarter, because we have significant business that will begin to ship in the second half of the quarter. We expect that gross margin will be in the range of 7.8% to 8.2%. Operating expense should be $67 million to $69 million. This leads to an operating margin in the range of 3.4% to 3.8%. We expect that other income and expense will be in the range of $7 million to $8 million. We expect the tax rate to be 17.2%, plus or minus a percentage point and we expect our fully diluted share count to be 86 million shares plus or minus half a million shares. When you consider all this guidance, we believe that you will end up with earnings per share in the range of $0.45 to $0.49. Finally, for your cash flow modeling, we expect that capital expenditures will be around $25 million, while depreciation and amortization will also be around $25 million. Overall, we are pleased with our results in the first half of the fiscal year. We knew that we were going to have soft revenue and our teams executed quite well, which is demonstrated in our gross margin. We expect to see solid growth in the second half of the fiscal year, which should help us to continue to diversify our revenue base. We remained focused on driving growth, but it is imperative that we grow with the right kind of business. At this point, I will turn the discussion back over to Jure for more comments on our target markets and our business strategy.
Jure Sola - Chairman and Chief Executive Officer: Thanks Bob. Well, ladies and gentlemen, I’d like to add few comments about the business environment for second quarter focusing our short-term business environment and also what’s happening for our June quarter. I will also add few more comments about outlook for the rest of the fiscal year 2014. So now let me recap second quarter just to add a few more things what Bob already said. I am pleased with the second quarter results. We continued to improve margins, continued to diversify our base, our business and our customer base and we continued to focus on quality of our customers as quality of the growth remains our priority number one. Sanmina customer relationships are continued to expand and Sanmina is well positioned with these key customers and market opportunities for us are lot more exciting as we look at the future. Overall, good quarterly results as we continue to build towards a better future. Now please turn to Slide 11. Let me make some more comments about the second quarter revenue by end markets. As you can tell, top 10 customers was 49% of our revenue and we had one customer at 10 plus percent of our revenue. For communication networks we are forecasting to be a bit slightly down, basically came 2.6% down, overall demand was during the quarter was stable. We had a few push outs during the quarter but we had a nice growth from new projects. And that helped the revenue. We also have a well balanced customer portfolio of market leaders in this segment which should revise – give us nice improvements rest of the fiscal year 2014. For Defense, Industrial and Medical we forecasted nice growth which we got approximately 11%, it was driven by strong industrial growth. Medical continues to also drive the growth through our new products. Defense was slightly down, we had a choppy demand and we expect for defense to continue to be choppy for the next couple of quarters. Computing and storage we did forecast to be flat, it was basically down 0.5% on a flat demand. On a positive side, we continued to add new projects during the quarter for this segment and we continued to invest in the new projects. For multimedia we were forecasting to be slightly down and actually that was flat, down 0.5%, on our overall stable demand. We have continued to expand some good customer to diversify into segment. We had some good projects in our pipeline which will help us improve the revenue in the future. Now please turn to Slide 12. Now let me talk to you about outlook for the third quarter by market segment. Third quarter outlook is looking better as Bob mentioned we are forecasting $1.5 billion to $1.6 billion, so it’s a nice growth quarter-over-quarter. And also for the second half of our year we remain optimistic, driven by new programs ramping and demand is improving across all key customers. As we look at the third quarter more details we are forecasting communication networks revenue to be up for the quarter. Basically we have better demand with nice and stable improvements both in networking and wireless infrastructure. Defense, Industry and Medical, we are forecasting also revenue to be nicely up and that industrial is going to continue to give us the strong growth in the third quarter. Also we expect medical to continue to expand. We got some new programs and new customers that are driving the growth. As I mentioned Defense for the third quarter we are forecasting to be down short-term. While we believe this is a good segment before us we got some fair amount technology, we continued to invest in the new programs that we believe it’s going to drive the future demand. And again opportunities in Defense for us are promising. Overall for Defense, Industrial and Medical, this segment we believe for third quarter we have a good upside potential. Computing and storage we are forecasting revenue to be slightly up for the quarter. We are expecting stable demand in these market segments as some of these new programs are starting to ship in the third quarter. Also on the positive side we continued to add new projects in this market segment as we continued to invest in the new programs. For multimedia, we are forecasting revenue to be flat quarter-over-quarter. Again, we expect stable demand. Good new opportunities will drive the growth in this segment in the future. Now, let me talk to you about sales bookings. Bookings for second quarter, book-to-bill was positive. For third quarter, we remain encouraged by better customer forecast and we are expecting to improve sales bookings in the third quarter and should continue to improve for the rest of the fiscal year 2014 driven by better demand from our existing and new projects and additional new customers. Overall, market opportunities remain attractive for us. Now, let me make a few comments regarding our growth strategy. We continue to invest in opportunities that will drive sustainable and profitable growth as Bob talked about. We have continued to diversify our businesses. We are focusing on right customers with the strong long-term growth potential. We are investing in the right technologies that will drive future demand and better profitability. We are investing in talent, technologies and new project as we are providing more value to our customers. This is our competitive advantage and it’s working. We also believe the revenue and profitability will continue to improve. And we still have lots of leverage in Sanmina’s business model. Please turn to Slide #13. In summary, second quarter, we delivered the good results for our expectations. For third quarter, programs are ramping and demand is improving. We do have a strong customer base and also it’s growing, it’s expanding. And for fiscal year second half, we remain very positive about our business opportunity. I think the key for us is to continue to deliver predictable and sustainable results going forward. Ladies and gentlemen, now I would like to thank you all for your time and support. Operator, we are now ready to open the lines for question and answers. Thank you again.
Operator: (Operator Instructions) Your first question is from Wamsi Mohan with Bank of America. Your line is open.
Jure Sola: Hello, Wamsi.
Wamsi Mohan - Bank of America: Yes, thank you. Hi, Jure. Hi, Bob. Can you talk a little bit about the strength you saw in the components business, how concentrated or diversified was that strength? It looks like the revenue levels were significantly higher, but the margins were still not quite at the levels that you saw two quarters ago. And I know you have a lot of moving pieces within the mix, so I am just trying to isolate how widespread that sort of strength was?
Jure Sola: I will say it’s well spread through our components and products. I will say components grew better, but overall, definitely we are not where we want to be on our components and products, but as things are moving in the right direction, we continue to really grow each of these businesses from high technology printed circuit boards, mechanical and then on the products, on the defense, storage and our Sanmina global services. So, each of these units is making progress. Some have a higher demand than others, but we are satisfied where we are today. And most importantly, we like what’s the potential of these components, products and services that we have in front of us, but there is a lot more up there hopefully as long as economy continues to be in our side.
Wamsi Mohan - Bank of America: Okay, thanks.
Bob Eulau: Yes, I don’t have a lot to add. I’d say products and services were pretty consistent in aggregate with what we saw before and the improvement was fixing some of the mechanical issues and then we also saw improvement as Jure said in printed circuit boards and backplanes.
Wamsi Mohan - Bank of America: Okay, thanks Bob. And then as a quick follow-up, Jure, given the improving sort of balance sheet and profitability across the MS players, are you expecting to see any industry consolidation here over the next few years? What are your thoughts on that? Thanks.
Jure Sola: Well, let me make a comment to what we are doing. First of all, we are really focused what’s in front of Sanmina here. We have a very exciting how do I say positioned we have got Sanmina to a really good position now. We have strong balance sheet. We improved our customer base. We really focused on quality of the customers. We added some really good customers in last 12 months. So whereas Sanmina is really more focused on growth, personally we don’t need to do anything crazy, we are going to continue to focus adding some strategic projects mainly driven by our customers requirements or partnering with our customers. So that’s what I am focused. I am not interested in anything else at this time.
Wamsi Mohan - Bank of America: Thanks Jure.
Operator: Your next question is from Brian Alexander with Raymond James.
Brian Alexander - Raymond James: Yes, just a quick clarification on the guidance Bob, just curious why you narrowed the EPS range despite widening the revenue range for the June quarter. I think you mentioned some significant business that will ship in the second half of the quarter as the reason for widening the revenue range, but wouldn’t that impact earnings similarly or was there another reason for narrowing the EPS range and could you elaborate on the magnitude of the business that you are referencing that could ship in the second half of the quarter?
Bob Eulau: Yes, I can’t get too specific on the business obviously if you look to the midpoint of the range we are planning our pretty significant growth from Q2 to Q3. We think everything is very dependent on mix. We are confident enough in the mix that we are likely to see that we felt that was an appropriate EPS range, so there is not a lot to that.
Jure Sola: And if I can add to it, we have a lot of new programs coming up in that mix itself.
Brian Alexander - Raymond James: Okay. And just a follow-up, so if we look at Industrial, Defense and Medical I think it’s up over 30% year-over-year, I guess the first question is how much of the strength in that business is coming from the new oil and gas customer that you talked about on the last call and if the other segments are all still declining year-over-year, yet you sound more optimistic about each of the businesses you going forward. And I am wondering specifically on communications Jure, when do you think this optimism translates to revenue growth for that segment? Thank you.
Jure Sola: Well, first of all, on communication, we expect to see revenue growth in the third quarter and we expect it to continue in next quarter. I think for us if you look at our customer base there, basically it’s for all leaders in communications side of the business. As you know there is not too many customers in this segment. We are well positioned there in the new products, so we expect that to continue to move in the right direction. Also to make a comment on industrial, oil and gas it’s – we did got into this business. We got a great customer there and we are expanding the customer base that part of the business will continue to contribute a lot more in the future. But we are really bullish on our Industrial segment of our business.
Brian Alexander - Raymond James: Sorry, just to clarify when you said communications will be up next quarter I think you meant sequentially, you also mean year-over-year that you think communications…
Jure Sola: To be honest with you Brian, I am only looking right now quarter-over-quarter.
Brian Alexander - Raymond James: Right.
Jure Sola: My answer to you was a quarter-over-quarter.
Brian Alexander - Raymond James: So any sense when we might see a return to growth year-over-year for that business is that more next fiscal year or do you think you can get there by the fourth quarter?
Jure Sola: Well, I would expect – let me put it this way, I would expect unless things really change that we will ship more in that segment in next four quarters than what we did in the last four quarters.
Brian Alexander - Raymond James: Okay, alright. Thank you very much.
Bob Eulau: Thanks Brian.
Operator: The next question is from Sean Hannan with Needham & Company.
Jure Sola: Hello Sean.
Bob Eulau: Hi Sean.
Sean Hannan - Needham & Company: Yes, good evening. Can you hear me?
Jure Sola: Yes.
Bob Eulau: Yes, we can.
Sean Hannan - Needham & Company: Okay, great. So I guess if I could pick on another segment for a moment here, you talked about expectations for computing to see a little bit of an uptick for this next coming quarter, so just trying to get a better understanding of what perhaps is driving that I think that you had alluded to some new programs and wins there, don’t know if they are any contributions at this point that start to layer in coming from say some of the new ISIS business or any other types of teams that could help to support that type of growth if there is any color that you could provide there that would be helpful? Thanks.
Jure Sola: Yes. Well, Sean as I have said in my prepared statement we are expecting the growth for our third quarter in our communication and storage. Definitely, we expect some nice improvement in our product that we delivered to our customer from new ISIS product alone. It’s probably moving a little bit slower than we wanted to, but we believe that we have a lot of projects there that were allowed us to see some nice growth going forward. But overall, we believe in the market segment, we are working in the segment itself, we got some good programs and so on. But I think it’s important to understand what Sanmina strategy is. We are really focusing on quality of the project itself. We can find lot of revenue. That’s not an issue. For us, it’s quality of the revenue and also going after the project and customer that what we say sustainable growth that will repeat itself for many years to come as long as Sanmina does its own job. And that’s why we have been diversifying into the project that requires more technology, requires that we bring in lot more value to these customers. That’s really that we believe it’s our competitive advantage. I think we did a lot of good things positioning the company. In last two years, it is starting to payoff, but I still believe we are in the second innings. There is a lot of upside here as long as we have economy that cooperates with us. I think Sanmina has the lot of leverage. So, we are going to take the small steps, but we just got to make sure those are quality steps in the right direction.
Sean Hannan - Needham & Company: Okay. And so it sounds like that from a growth perspective as you look to the June quarter and I would have to assume you folks typically see a seasonal uptick in September and want to see if we can validate that at least theoretically that that should still be intact. New programs seem to be driving certainly a lot of this. Wanted to understand then separately how you might characterize your capacity utilization today, if you folks feel you are properly outfitted with your existing facilities to the nature of program builds you expect for the year or if there are any material adjustments or capital investments you might need to make? Thanks.
Jure Sola: Yes. First of all, I would say the lot of our growth that is operating today and even the next quarter, it will come from the key projects that we have been working with our existing customers and new programs that we won in this year and last year. So, those are starting to drive some of the stability in our growth, but at the same time, we do believe that economy is starting to cooperate. We still have to be cautious there and we have to go out there and make sure that we work in the right programs. When it comes to capacity, first of all, based on space we got plenty of capacity. We are – so that’s not an issue. We are – we have been upgrading all our equipment with the latest technology. And if you come to Sanmina’s factory, these are all state-of-art factories. So, we have been investing for the future. So, we are well-positioned to grow. At the same time, we have to spend smart. We don’t, it’s – this is a business that requires a lot of details, but we are ready to invest more if we need to, to support the growth, but nothing unusual. We are forecasting the next coming quarter CapEx around $25 million. Bob, I think we are going to be staying around that $80 million to $100 million right now unless we see lot more growth coming in the future.
Sean Hannan - Needham & Company: Okay, that’s helpful. And just to back check on the assumption around a September quarter that still I think Jure from the comments I am hearing, that should still seasonally be up from June period, correct?
Jure Sola: Well, we believe that economy will continue to improve. So based on that, I would expect it to move in the right direction, but lot of our – when we use the word positive and better rest of the fiscal year is based on the programs that we know, that we have today and based on the forecast that we see on those programs.
Sean Hannan - Needham & Company: Okay, alright, thank you.
Jure Sola: The answer is yes, I guess.
Sean Hannan - Needham & Company: Okay, thanks very much.
Bob Eulau: Thanks, Sean.
Operator: Your next question is from Jim Suva with Citi.
Jim Suva - Citi: Thank you and congratulations to you and your team at Sanmina, great profitability and nice to see the growth. When you talked about a little bit more back-end loaded to the quarter, has something changed like in the mix of the business because typically I always envision that the business that you guys have in the mix is typically back end of the quarter loaded and now even more so and if the upside from industrial maybe I don’t fully grasp the ramp of the program, there is no way I think of industrial is being a little bit more predictable rather than end of quarter rushes or rebates like associated with storage or enterprise or things like that?
Jure Sola: Jim, you are talking about the third quarter here, right?
Jim Suva - Citi: Correct.
Jure Sola: Yes, so basically some of the growth that will be coming in the third quarter, second half is really based on some of the new customers that we have and some of the new programs. So based on when these things are coming, the materials and so on and so on we believe fair amount of that will be shippable end of the quarter. So Bob you want to…
Bob Eulau: I agree with what Jure said I mean we have a significant new program that we won that’s coming on in the second half. And as you know anytime we bring on new programs you are not 100% sure how it’s going to play out. But if we put together quarter it will being that we ship more at the end.
Jim Suva - Citi: And that’s Industrial segment, is that correct?
Bob Eulau: It is.
Jure Sola: Yes.
Jim Suva - Citi: And then once that program gets ramped am I correct it is more predictable or lot more linear than some of the other traditional items that you guys have produced say for telecom or its high end computing?
Bob Eulau: Yes, we believe so.
Jim Suva - Citi: Great and then switching gears, my last question is kind of on the storage side of things, I think you guys brought back new ISIS a while ago, but you have some of the other storage companies out there the main enterprise ones are seeing some slowdown and challenges there, can you tell us about how new ISIS is progressing and did you find a niche for it, is it doing okay, is it facing similar challenges that the other enterprise storage companies are seeing?
Jure Sola: Well, first of all it’s a challenging market that we are trying to – with our product we are trying to go up to the niche area more high end and where we can add lot of value, so that’s one. And then also majority of our business still there is our traditional customers that we have in that what we call computing and storage. So with that we have been involved in a lot of new customers, lot of projects and we are hoping that some of these things will start move in a right direction. We are starting to see some of that in the third quarter and we expect those to continue to move in a right direction through the rest of this fiscal year.
Jim Suva - Citi: Okay. Thank you.
Bob Eulau: One thing I would add is it’s obviously we sell into enterprises and we partner with enterprise OEMs, but the cloud environment is also very disruptive and there are a number of customers in that arena who are interested in the kinds of products we have in new ISIS. And so I think there is still a lot of evaluation going on like Jure said we are hopeful that we will really start to get some points on the board there soon.
Jim Suva - Citi: Okay, congratulations to you and your team there Sanmina.
Jure Sola: Thanks, Jim.
Operator: Your next question is from Mark Delaney with Goldman Sachs.
Mark Delaney - Goldman Sachs: Thanks very much for taking the question.
Jure Sola: Hi Mark.
Bob Eulau: Hi Mark.
Mark Delaney - Goldman Sachs: How are you guys doing? I was hoping first you can help me better understand the organic revenue growth in the March quarter, so I know it was up about 2% quarter-on-quarter about 3% year-on-year what was that organically, so in other words if you didn’t have the benefit of the oil and gas acquisition what would have revenue growth been?
Jure Sola: I would say majority of that is organic growth.
Mark Delaney - Goldman Sachs: Okay.
Jure Sola: Oil and gas is not big impact, there is some there but it’s not a huge impact in the second quarter.
Mark Delaney - Goldman Sachs: Okay. And then I am hoping to better understand some of the comments you made about the new programs coming on in the back half and I understand there is some larger industrial programs that you are going to be shipping for and that to come on later in the June quarter. You guys said it would be – you think that’s a more predictable business, does that imply that this is a step function higher to a new level of revenue or you just have more visibility of when these things typically will be shipping?
Bob Eulau: Well, first of all it’s a new program so there is always fair amount of moving parts when you get involved in this Mark, but we expect that after the third quarter as we enter in the fourth quarter to be very stable business. And it’s incremental business hopefully for many years to come.
Mark Delaney - Goldman Sachs: Okay, that’s helpful. And then if I can just last – ask one last question Jure in your prepared remarks, you mentioned there were some push-outs in the comms business, but then you also benefited from some new programs that started to ship and so maybe you can just provide some more color on where you saw the push-outs, what the expectation is for those going forward, and then elaborate a little bit more on what the strength was in some of the newer programs?
Jure Sola: Well, the push-outs in that comp section, was really the best on a few oil customers that they pushed some of the demand out, the short-term push-out. And then some of these newer programs that we have mainly driven in our network and optical side and LTE type of programs did better and helped out, but overall, I would say communications segment for us came per our expectation. There was really no major surprises there one way or another.
Mark Delaney - Goldman Sachs: Thank you very much.
Jure Sola: Thank you.
Bob Eulau: Thanks Mark.
Operator: Your next question is from Joe Wittine with Longbow Research. Please go ahead.
Jure Sola: Hi, Joe.
Joe Wittine - Longbow Research: Hi, congrats on the quarter. Maybe we talk about the R&D increase, is any strategy we are talking where are you investing, in which end markets etcetera? And along with that, what’s the go forward run-rate? Does it tick up higher from the second quarter?
Jure Sola: Well, first of all, Joe we have been trying to diversify our segment of the businesses that we have. And in a way to do that is really put some more R&D money both in the technology and system processes and really our own products that we take into the market. We expect that to kind of be stable where it’s today maybe up slightly in next couple of quarters, but it’s the part of our business model as we diversify into more profitable businesses. I think it’s the right thing to do. So, that’s one of the reasons that R&D went up a little bit. Bob?
Bob Eulau: Yes. We – I mean, as you probably know, I mean, we do invest a fair amount of R&D in the product area as we have invested for many years in defense. And we have increased our investment in R&D in storage over the last few quarters. I think for the remainder of the year, I don’t see a lot of increase from here. You might even see it tick down a little bit, but we are going to continue to invest in R&D. We are very committed to the product platforms we are focused on.
Joe Wittine - Longbow Research: Okay. So, if anywhere it’s concentrated in storage and defense?
Bob Eulau: Those are the two biggest areas.
Joe Wittine - Longbow Research: Okay, got it. And then with regards to the balance sheet, Bob, can you with the 2019’s, I guess now in the table, can you just walk us through theoretically how you are looking at – how you are evaluating I guess debt versus equity at this point and maybe along with that, what’s the minimum cash balance you are willing to run with, it’s been a while since we have had those discussions, right?
Bob Eulau: Yes. I mean, our focus is always looking on what’s the net present value of any given transaction. We try and risk adjust that of course. And so we are analytical and very methodical in terms of what we do when we look at the capital structure. And of course as I mentioned in the remarks, we are definitely looking at it right now. In terms of cash levels, we don’t have a specific target of cash. I can tell you we can run the company at far lower cash balances than what we have shown the last few quarters. We have been around $400 million for several quarters in a row, but it doesn’t take that much cash to run the company.
Joe Wittine - Longbow Research: Okay, great. Thanks and congrats on the sales and margin progress in components.
Jure Sola: Thanks, Joe.
Bob Eulau: Thanks, Joe.
Operator: Your next question is from Osten Bernardez with Cross Research. Please go ahead.
Osten Bernardez - Cross Research: Hi, good afternoon. Thanks for taking my questions.
Jure Sola: Hey, Osten, how are you?
Osten Bernardez - Cross Research: Doing well, thank you. So it sounds thus far some of the upside in the CPS segment this quarter, in the second quarter came from a demand that you saw within industrial and medical perhaps, if you could correct me if I am wrong, but not necessarily from the recent oil and gas exploration assets that you acquired. So, would you be able to elaborate where you can on the types of industrial products that – programs that contributed to the gains there, any offset that you saw during the quarter?
Jure Sola: Yes. For CPS, let me also correct you there a little bit, Osten. Definitely, we had some help from oil and gas, but it’s a new project for us. And anytime you take a new project, there is a lot of, I would want to say, moving parts, you got at Takeda, but I am very happy with the progress that we made. And most important thing when we take a project, always taking care of customer, making sure that we delivered what we made a commitment on and more. And we did a great job there. And we are excited about the future, but it did help us on the revenue and especially in the revenue side. But back to as we have build out our components, we build across all our markets from telecommunications, industrial, medical, semiconductor and so on and so on. So as those markets move in a right direction of course there is a – we get benefits on let’s say on the components side of the business. The product itself both on defense was slightly down last quarter probably wasn’t a huge impact for our components and for I will just say for components but from a product side it was overall still a good quarter. So I will say a solid quarter for CPS group. I think we move in the right direction there. We are lot more excited about the future. I think it’s not going to happen overnight. The key for us there is that we can move this in a right direction, but the most important what we would focus in our components (process services) it’s a solid customer base that’s going to be there for many years to come. So we believe we are well positioned there and we will continue to expand that business.
Bob Eulau: The only thing I might add is I really view Q2 and that segment as a recovery from a disappointment in Q1. And I think the aberration was more in Q1, I think Q2 is an okay quarter. It’s not the best we have done with that segment. And like Jure said it’s not nearly as good as we think we can do with that segment.
Osten Bernardez - Cross Research: That’s helpful and then following on with respect to your commentary on the Defense segment, the – what would it take for that to become less choppy business, is it a matter of budgetary constraints or willingness by some of your customers to increase outsourcing and…
Jure Sola: Osten for us I think it’s a biggest issue because we – is government programs because most of the stuff that we sell the big project that we designed and make get sold directly to the government. So definitely government budgets and programs are affecting short-term choppiness. At the same time the programs that we involved and new programs that we had been investing we believe to have a lot of – so let me put it this way, a good future. So we continued to invest in those programs. So we are still excited what we have as you know we sell that under SCI brand. We made lot of positive things in last 12 months and we know that business will come back especially the type of products that we are involved in.
Bob Eulau: Okay, I think the other thing that we expected and it’s beginning to happen is with cost pressure on the prime contractors. We are seeing more opportunity on the IMS side and Defense than we have seen in quite a while. We have got a good pipeline there on the IMS side and we are going to continue invest on the products side and we think we will be successful over the long-term.
Osten Bernardez - Cross Research: And then lastly from me with respect to communications can you highlight what type of linearity you are expecting for the fiscal third quarter are you expecting significant program revs in the second half of the quarter there as well or is it – are you expecting more linear quarter there?
Bob Eulau: My view is communications will be fairly normal in terms of the linearity within the quarter. I think what we have seen as a company as a pattern in communications tending to see a weaker first half and a stronger second half and it’s our belief that’s what we will see again this year.
Osten Bernardez - Cross Research: Thank you very much.
Jure Sola: Thanks Osten.
Bob Eulau: Thank you.
Operator: Your next question is from Sherri Scribner with Deutsche Bank.
Sherri Scribner - Deutsche Bank: Hi, thank you. I apologize for the background noise. Bob, I just wanted to ask about the gross margins you probably have done good job of improving the gross margins to about 8% now and the midpoint of your guidance is for 8% gross margins, do you see that as a sustainable level going forward based on the new mix of business with more components? Thanks.
Bob Eulau: Thanks Sherri. We definitely see that as a base from which we can build. If you look at the last four quarters we had three quarter in a row of 7.8%. The most recent quarter was 8.2%. As you noted we are guiding to a midpoint of 8% for next quarter. I really think that’s more of a base level. And as we have more strength on the CPS segment, we really should be able to expand margins pretty significantly for the company and that’s very integral part of our strategy.
Sherri Scribner - Deutsche Bank: Okay. And then thinking longer term about your different segments, obviously communications has been challenged for a while, computing and storage has been challenged. Do you see those as growing next year? Thanks.
Jure Sola: Well, Sherri, Jure here. As I mentioned earlier, everything that we see today we will expect those two markets to be stronger for us, unless this whole economy stop growing, everything falls off the clip. That’s what I made a comment earlier, I believe that communication sector for us will be stronger the next four quarters than what we had in last four quarters. I think we are well-positioned. We have a great portfolio of the leaders in that segment and we expect steady industry growth, Sanmina itself will grow in that segment. On the computing and storage side, I think we have been investing a lot in our customer development side, both from R&D point of view, I think we have got some good products to compete there and again, very strong customer base. We also expect at least next quarter and next couple of quarters to grow and we will see where it goes from there.
Sherri Scribner - Deutsche Bank: Great, thank you.
Jure Sola: Thanks, Sherri.
Bob Eulau: Thanks, Sherri.
Operator: (Operator Instructions)
Jure Sola: We have time for one more question, operator.
Operator: And our last question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks a lot. Good afternoon guys. Just couple of questions from me.
Jure Sola: Hi Amit.
Amit Daryanani - RBC Capital Markets: Hi. You talked couple of times about expectation of the communication segment should see year-over-year growth to the next four quarters. I am just curious is that comfort coming from better organic demand that you are seeing from your customers or are there new ramps that give you that confidence?
Jure Sola: Well, I don’t know, I would say, Amit that I am not an expert to exactly know what’s going to happen from overall demand. What I am talking about if I look at the projects that we are involved in and the customers that we are working in, we expect definitely next quarter to be up and we expect the fourth quarter to be also move in the right direction, but based on a economical demand and what I am hearing from my customer, I said, I believe the next four quarters will be better than last four quarters.
Amit Daryanani - RBC Capital Markets: Got it.
Jure Sola: But it’s really the project that we are involved in.
Amit Daryanani - RBC Capital Markets: Fair enough. And then I guess if I just look at the gross margin guidance that you guys have about 8%, it implies down about 20 basis points sequentially, I am curious, where are you seeing the headwind, is it more on the components side or on the integrated manufacturing solution, where you think gross margins could inch lower in the June quarter?
Bob Eulau: Yes. We are actually being cautious in terms of the mix in both segments. We have enjoyed I think very good mix on the IMS side, the last two quarters. And hopefully, we will be able to sustain that, but we have to be careful there. And then also on the components products and services, we have got to be cautious. So, we feel comfortable with that range of gross margin. It’s very consistent with where we have been for the last year. And we are going to do everything we can to do even better than that.
Jure Sola: And we believe we are positioned to continue to move in the right direction in terms of the margin. I think it’s all driven by I think our new strategy, our new businesses. I mean, we are a different company than two years ago or even a year ago. So, you have to look at Sanmina’s opportunity and potential a little bit different than past.
Amit Daryanani - RBC Capital Markets: Fair enough. And then just finally for me of the industrial ramp and this is one big ramp that you guys will have in the back half of calendar ‘14, does that start to kick in, in the June quarter and then more meaningfully in the back half or is it something that goes live on September quarter per se?
Jure Sola: It will start in the June quarter and should be continued to be put a solid business for us for many years to come.
Amit Daryanani - RBC Capital Markets: Perfect. Thanks a lot and best of luck guys.
Jure Sola - Chairman and Chief Executive Officer: Alright, thanks Amit. Ladies and gentlemen, I got one more comment before I let you go. Paige just reminded me that and I want to remind you that Sanmina will be hosting a Investor and Analyst Day in New York, May 6, which is next Tuesday, two weeks from today, I am sorry, thanks Paige. We have a great event planned and we are hope you will be able to join us. For those that want to attend this meeting, please contact Paige Bombino for additional details. Her number is 408-964-3610. We are looking forward to seeing you there. Otherwise, if you have more questions regarding our quarter, please give us a call, we are here to answer any questions that you might have. Again, thank you very much for your support.
Bob Eulau - Chief Financial Officer: Yes, thanks everyone. Hopefully, we will see you in a couple of weeks. Bye-bye.
Operator: This concludes today’s conference call. You may now disconnect.